Operator: Good day. And welcome to the Smith Micro Software Second Quarter 2015 Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Todd Kehrli, MKR Group. Please go ahead, sir.
Todd Kehrli: Thank you operator. Good afternoon and thank you for joining us today to discuss Smith Micro Software's financial results for the second quarter of 2015. By now, you should have received a copy of the press release with the financial results. If you do not have a copy and would like one, please visit www.smithmicro.com or call us at (949)362-5800 and we will email one to you immediately. On today's call, we have Bill Smith, Chairman, President and Chief Executive Officer of Smith Micro; Steve Ziggy Yasbek, Chief Financial Officer; and Carla Fitzgerald, Chief Marketing Officer. Please note that some of the information you will hear during our discussion today will consist of forward-looking statements, including without limitation those regarding the company's future revenues and profitability, new product development and new market opportunities, operating expenses and the company's cash reserves. Actual results or trends could differ materially from our forecast due to a variety of factors. For more information please refer to the risk factors discussed in Smith Micro's Form 10-K. Smith Micro assumes no obligation to update any forward-looking statements or information which speaks only as of the respective date. Before I turn the call over to Bill Smith, I want to point out that in our forth coming prepared statements, we will refer to certain non-GAAP financial measures. Please refer back to our press release disseminated earlier today for a reconciliation of the non-GAAP financial measures. With that Bill, please go ahead.
Bill Smith: Thank you, Todd. Good afternoon everyone. Our revenues for the second quarter of 2015 were $9.4 million, which includes a non-recurring customer chargeback of approximately $500,000. Excluding the one-time charge, revenues would have been $9.9 million, in line with our internal projections and a 15% increase over revenues in the second quarter of 2014. From a non-GAAP perspective, we reported a net loss of $400,000 in the second quarter, which is again driven by the one-time charge and is a significant improvement compared to the net loss of $2.4 million we reported in the second quarter of last year. We continued to see growth in NetWise revenues and strong demand for CommSuite services at Sprint. We're actively working on new opportunities with wireless operators, cable MSOs, and enterprises. While we focus our energies on driving sales cycles forward, we're also closely managing our expenses in order to be non-GAAP profitable for the year. I can provide more color on these areas later in the call, but first Ziggy will present the detailed financial results for Q2. Ziggy?
Steve Yasbek: Thank you, Bill. I first want to go over our customary introductory items. As we have in past quarters, we have provided non-GAAP results and a reconciliation of non-GAAP and GAAP results. The non-GAAP results discussed on this call met out stock-based compensation related expenses and non-cash tax expense or benefit to provide comparable operating results. Accordingly, all results that I refer to in my prepared remarks for both 2015 and 2014 are non-GAAP amounts. Our earnings release which will be furnished to the SEC on Form 8-K contains a presentation of selected GAAP financial measures and related non-GAAP financial measures, and a reconciliation of the differences between the two. The earnings release can also be found in the Investor Relations section of our website at smithmicro.com. June year-to-date revenues for 2015 were $19.9 million, up $2.9 million from June year-to-date 2014, an increase of 17.3%. Wireless revenues were $17.1 million, an increase of $3.2 million or 23.5%. Productivity and graphics revenues were $2.8 million, a decrease of $300,000 or 10.2%. From a non-GAAP perspective, the June year-to-date 2015 earnings per share was zero or essentially breakeven as compared to June year-to-date 2014 loss per share of $0.13. In terms of our currently completed second quarter, let me provide some details. For the financial modelers, let me provide the difference between GAAP and non-GAAP P&L metrics. In terms of stock compensation, stock comp totaled $544,000 for the current period, broken out as follows; $300,000 [ph] cost of sales, $86,000 of selling and marketing, $157,000 R&D; and $298,000 G&A. While we showed no GAAP tax benefits for the period due to fully reserving to tax benefit, we are showing a $265,000 pro forma or cash based tax benefits. For the second quarter, we posted revenues of $9.4 million and a loss of $0.03 per share GAAP and a loss of $0.01 per share non-GAAP. Revenue for the quarter compares to $8.5 million for the same period last year, an increase of 10%. International revenue was $200,000 this quarter across all business groups. Our wireless segment reported revenues for the quarter of $7.9 million as compared to $7 million last year. Our productivity and graphics segment posted revenues of $1.5 million, which was essentially flat with last year. Switching now to gross profit, non-GAAP gross margin dollars of $7.3 million compares with $6.1 million during the same period last year. Non-GAAP gross margin as a percentage of revenue was approximately 78% for Q2 of 2015 compared to 71.3% for Q2 of 2014. The increase in gross margins was primarily due to the increased revenues and cost savings resulting from last year’s restructuring. Non-GAAP gross margins by segment were as follows; wireless was 77.9%; and productivity and graphics was 78.2%. Switching to operating expenses, non-GAAP operating expenses for the second quarter of 2015 were $8.0 million, which was $1.9 million lower than the second quarter of last year. From a year-on-year perspective, selling and marketing expenses decreased 4%, engineering expenses decreased 4%, and G&A expenses decreased 16%. Non-GAAP operating loss for Q2 was $681,000 as compared to a loss of $3.8 million in Q2 of 2014 which included a non-GAAP restructuring charge of $1.2 million. Non-GAAP net loss for the second quarter was $422,000 or $0.01 loss per share, as compared to a loss of $2.4 million or a $0.06 loss per share last year. Cash at June 30, 2015 was $11.5 million, a decrease of $1.5 million from the end of last year. In terms of housekeeping, we expect to file our quarter end 10-Q by the end of this week, which will represent our final financial statements for the period. At this point, I'll turn the call back over to Bill.
Bill Smith: Thank you, Ziggy. The second quarter was a very busy period in which we expanded our deployment of NetWise with Comcast and supported our CommSuite business at Sprint and moved the sales cycle forward on several NetWise opportunities with cable providers and network operators. For many of them, 2016 planning and budgeting are well underway, and as a result, we have participated in several requests for proposals from companies seeking easier Wi-Fi onboarding or efficient data offloading, and improved connection quality for end users. Our NetWise solution is well-positioned with several accounts where we are shortlisted and we are focusing our efforts on these deals as our top sales priority. The majority of our revenue continues to come from Sprint. We are working on several projects to grow the adoption of premium services within their subscriber base. We continue to enhance mobile advertising with larger format ads and more device coverage which should increase advertising revenues from CommSuite over the coming quarters. At Comcast, our second largest customer, we have recently expanded our footprint with the deployment of NetWise for iOS and consumer uptake has been solid. We're currently working on NetWise support for PC and Mac users and expect the deployment of these platforms later this summer. Our working relationship with Comcast has been and continues to be excellent and we're increasingly encouraged that our performance at Comcast will bear fruit with other cable companies as well. In Q2, our NetWise platform was also selected by a well-known device manufacturer to enable over-the-year firmware and software management on a new device they are launching later this year. We expect this opportunity to grow as more device models are added for more operator networks next year and beyond. On the CommSuite front, we have completed integration design work and formalized our reseller contract with Comverse, allowing them to upsell digital voice mail, voice-to-text, and avatar messaging capabilities to their existing voicemail customers. We also have multiple new sales opportunities underway with Tier I operators who are interested in variation of our avatar technology for their own messaging applications. We are not yet in contracting stages with these prospects, but we expect to move through technology evaluation rapidly with the potential for selection and launch later this year. 2015 has definitely been a year of trial, evaluation and experimentation for many of our target customers. On the enterprise side of the house we have met with dozens of Fortune 500 companies who are pilot testing a wide range of mobile marketing technologies including SMS push messaging and location triggered mobile advertising. The general consensus from these giant retailers and brands is, one, more intelligence is needed about consumer shopping habits and their mobile preferences. Two, the risk of spamming consumers with poorly targeted ads is huge, and three, excessive or irrelevant messaging will alienate customers quickly. The good news is our NetWise Captivate platform addresses these challenges by adding more real-time device data and user context to improve targeting and deliver more convenient and relevant services and promotions to customers through their smartphones. We now have several large brand name prospects in various stages of the sales cycle for NetWise Captivate, many of which we hope to close before the end of the year. Switching over to the productivity and graphics business, the new Anime Studio 11 product launch in the second quarter was a great success. Within the first 30 days of launch the new version achieved a 200% increase in sales compared to the pervious Anime Studio version released last year. In addition, there were more than 1,000 participants registered for the product launch webinar, a 300% increase over registration from the previous release. Anime Studio 11 includes several important new features, targeting professional animators and workgroups, enabling us to pursue more high-volume sales with animation studios, industrial design firms and other large enterprises. The ability to bridge the gap between novice artist and professional users with powerful yet easy to use animation tools continues to be a strength across our entire graphics portfolio. Whether for mobile operators, cable providers, enterprises or artists, our technical expertise and creativity allow us to deliver reliable software solutions that bring our customers closer to their business goals. We have many hurdles yet to jump this year, but we remain laser focused on closing deals, growing revenues and achieving non-GAAP profitability for 2015. With that operator we can open the call for questions.
Operator: Thank you. [Operator Instructions] And we will now take our first question from Rich Valera with Needham & Company.
Rich Valera: Yeah. Good afternoon. Obviously, you guys had given annual guidance on your last call. I would love to get an update on that.
Bill Smith: Sure, Rich. I mean, clearly, we had given guidance that this quarter would be a down take quarter. Obviously, the customer charge back of $0.5 million impacted us on that. We are not updating our guidance. We know we have a steep hill to climb in the second half of the year, and we still see a path to achieving that goal.
Rich Valera: Okay. Couple of questions, one, I appreciate any color on the customer chargeback if you can say who it’s with and is that customer relationship still viable? And then secondly, given what would be a very pretty steep hill to climb to make even the low end of that annual prior guidance, which I believe the low end was $45 million. Can you give us any color on how you think that this sequential trajectory would play out 3Q, 4Q? Thank you.
Bill Smith: Sure. All right. You had multi parts to your question. So come back if I miss one or two, okay? First up, as far as the customer, the customer relationship is outstanding. The customer had a billing issue with their customers. We believe and they believe that the issue has been corrected. And at this point, I'm really not at liberty to say who the customer was. But I think the point is that it was an issue and has been corrected and unfortunately resulted in a chargeback of $0.5 million against our sales for the quarter. So that said, as far as how we go about reaching the guidance that we've provided. Clearly, we are looking strong growth from our existing customers. I have alluded to a number of new transactions that are in the works, all of which are important steps and we need help, obviously, from both our cable MSOs and our carriers, and we've got our head down and we are just focused on trying to get that job done.
Rich Valera: Bill, last call you were good enough to give us sort of some sequential guidance, acknowledging that the Comcast order from Q1 wasn’t going to repeat in Q2, and that kind of helped us to model Q2 appropriately minus that chargeback. I mean, are you willing to give us any color on where you think you will be in Q3 relative to this [indiscernible] the $9.9 million, sort of, pro forma number that you would have printed in Q2 ex the chargeback?
Bill Smith: Okay. What I can say is this. Last quarter was a very special circumstance. As you've covered us for a number of years, you know we don’t give quarter-to-quarter guidance. But we thought because it was rather unusual to see a drop off in sales to a large customer like Comcast, we thought, we better give you some guidance. This quarter all I can say is, clearly, we are focused on delivering stronger quarter in Q3 than we did in Q2 and continuing to grow that through the end of the year, because that's the only way we can get to our guidance.
Rich Valera: So, my taking is that you are sort of guiding for a sequential improvement, but not saying how much. Is that a fair statement?
Bill Smith: That's a fair statement.
Rich Valera: And since we are, I guess, a month into Q3, I was just wondering what you see needing to happen to make the full year guide. I mean, you've mentioned a lot of things. But I imagine if these things were to close late in this calendar year they might not contribute all that much revenue. So just wondering from a timing perspective, kind of, what needs to happen to make the year come together? If there is any color you can add to that?
Bill Smith: Well, we believe that we will have continued growth at both of our large customers, both one on the cable side, one on the carrier side. So we expect Sprint revenues to continue to grow throughout the year, and we expect to see a lot of activity out of Comcast. So -- I mean, that's how I -- as I sit here now, that’s how I -- as I sit here now, that’s the best crystal ball that I’ve got.
Rich Valera: Great. And you’d mentioned and I didn’t catch exactly what you said that you expected to have some other deployments with Comcast in the back half of the year or just from -- basically, in the second half of the year. Can you give us any color on what those are expected to be?
Bill Smith: Yeah. Well, we deployed for the first time our iOS version of NetWise for Comcast that is now in market, and the uptake has been quite strong. So, we're quite pleased with that. We also will be providing to Comcast a version of our NetWise product that will support Windows-based and Mac-based users with laptops or PCs.
Rich Valera: Got it. Okay. All right, thank you. Those were my questions.
Bill Smith: Thanks, Rich.
Operator: [Operator Instructions] And we’ll now take our next question from Kevin Dede with Rodman & Renshaw.
Kevin Dede: Hi, Bill.
Bill Smith: Hi, Kevin.
Kevin Dede: You mentioned little about the Comverse opportunity, but no real contracts yet. I was wondering if you might offer a little more color about who you think their end customers are and how substantially you think that could be.
Bill Smith: Yeah. On the Comverse side, we continue to move forward. We’ve done a lot of integration work with Comverse as to how our visual voicemail will integrate into their infrastructure in the most effective way. We do believe that we will start to see some real marketing activities in the second half of the year. It all depends from when we can deliver and get product up and running and accepted as to when we can actually realize the revenue. So, that’s a bridge too far for me right now. I really can’t tell that because it does have a lot to do with who a new customer would be and what integration issues into their billing systems are or whatever would have to take place.
Kevin Dede: Can you give us an indication on the breadth -- I guess I’m kind of curious if you think you’re seeing next deployment perhaps in Europe and Asia. I’m just kind of wondering how far Comverse is taking your solution, geographically.
Bill Smith: Yeah. The goal is we’ve developed a list of handful of target carriers to try to go after first. And Comverse does business with about 300 different carriers around the world and so we don’t want to focus on all 300 at once. We like to focus on a few target deals that we can try to get done and work through how to bring this up in a nice seamless manner working both we the new customer and with our partner Comverse.
Kevin Dede: Okay. So, it’s clear that you’ve got more initiatives moving forward for Comcast, congratulations on that. I know one of the advantages of working with them initially was that they are look to as a leader in the cable industry and I’m just wondering if you’re seeing any of that still over yet given that I guess there’s still lot of M&A activity sort of in that end. And just kind of wondering how warmly that might be accepted given all of the other activity.
Bill Smith: Okay. So, you're talking about Comcast now, right?
Kevin Dede: Yeah, Comcast, right. Sorry.
Bill Smith: Yeah, okay. Good. I just want to make sure. Clearly, we’re really excited. Comcast is very excited. The early adoption or the early implementation on Android and now on iOS has gone extremely well. We performed very, very well and we look forward to continuing that trend. They are very happy customer. And clearly, we want to leverage off of that success with other cable MSOs. And at the present time, we have a number of different opportunities in work with cable MSOs in many of which are down to a shortlist of one or two --two different names and so we are in that final, final stage. I can’t tell you that I’ve got one to talk about. I can just tell you that I'm close enough that I can see the light at the end of the tunnel and I'm running as fast as we can.
Kevin Dede: Okay. Fair enough. With Comcast things are growing, so that's good. It's not clear though based on your comments thus far Bill that Sprint has adopted other initiatives that you've offered I guess outside to Anime, so I was wondering may be you could talk to that a little bit and give us some feedback on how the Visual Voicemail side of things is going?
Bill Smith: Yeah, I don't want to present outstanding--
Kevin Dede: With avatar, I guess.
Bill Smith: Okay. No, I really don't want to pre-announce anything. I kind of like let Sprint announce things on their schedule. But what I can tell you is there are number of new initiatives that we're developing with Sprint and they will be developed and launched in the second half. They are revenue generating opportunities, thus goes my comment that I made earlier that we expect our revenues from Sprint to continue to grow.
Kevin Dede: I know -- well, I'd imagine that they don't want you to be too granular with regard to your response to this, but I'm wondering if you could talk to traffic trends in Visual and -- Visual Voicemail and specifically the avatar use.
Bill Smith: Well, I really can't get into a lot of that detail. It's actually the question, you would be better to ask them, I don't know whether they will answer or not, but that's really kind of proprietary information to them. All I can say is that the revenue base for both NetWise as well as our Visual Voicemail CommSuite products, we see continuing on throughout the rest of the year. We see growth. We see some new launches of the new features and new capabilities that are not in market right now. These new things will have the opportunity to generate substantial new revenue and we're looking forward to that.
Kevin Dede: All right. So, could you comment a little bit on the expense side of things, given the increase in requirements and demands from your customers? I'm just kind of wondering how you intent to control expenses and what we should look for going forward.
Steve Yasbek: Hi, Kevin. This is Ziggy. I think that that our -- the non-GAAP operating expenses will be up slightly in the Q3 and we hope that they will go up in Q4 as our revenue numbers show. But they go -- again, we will hold back on the high array.
Kevin Dede: Okay. Fair enough. I guess that's all I have for now. So, thanks for entertaining them.
Bill Smith: Very good Kevin.
Operator: And it appears there are no further questions in the queue at this time. I'd like to turn the conference over to Mr. Todd Kehrli for any additional or closing remarks.
Todd Kehrli: Okay. Thank you, operator. Thank you for joining everyone today. We look forward to updating you all on our progress over the coming months. And of course, if anyone has any follow-up questions, please feel free to contact me and I will be happy to answer them for you. Thanks again and this concludes our call. Have a great day.
Operator: And ladies and gentlemen that concludes today's conference call. We thank you for your participation.